Operator: Good day, and thank you for standing by. Welcome to the Imerys' Third Quarter Nine Months 2023 Results Conference Call and Webcast. At this time, all participants are in a listen-only mode. After the speakers' presentation, there'll be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Alessandro Dazza, Chief Executive Officer. Please go ahead.
Alessandro Dazza: Thank you, and good evening to all of you. Thank you for joining us today to review Imerys' 2023 Third Quarter Results. With me, as usual, next to me, Sebastien Rouge, our CFO. As always, let me start first by sharing with you few key messages, few key highlights of the last quarter. Let's start by sales. Imerys posted revenue in Q3 of EUR918 million, down compared to last year, 14%, reflecting a high comparison basis. But also, as we will see later on, soft end markets, especially around construction and residential construction, and some increased competition from Asian players benefiting from lower energy and logistics costs. Current EBITDA, strong performance, resilience, 16.5% margin, in line with the performance of the first half of the year, thanks to a very good contribution margin. We could benefit from lower input costs, variable costs, and I will enter in more details on this, but also from an excellent work done by the teams to deliver cost savings, especially around fixed costs and overheads. As you see on the chart bottom right in the -- on the slide, not only variable costs were lower than last year in this quarter, but also our fixed costs and overheads were lower than last year despite persistent inflation everywhere. Consequently, our Q3 price/cost balance remained largely positive even with the price effect that now is leveling off at zero, as we announced in the past. As a reminder, Q1 price effect, 11%; Q2 price effect, 4%; Q3 price effect, basically zero in average on the year-to-date and nine months, 5%. Once again, I believe Imerys demonstrated its agility in an uncertain and challenging environment. Last, for the quarter, on the M&A front, we closed the acquisition of the ground calcium carbonates assets of -- or business of Carmeuse in the US, in Georgia -- in North Georgia in September. This should add approximately $15 million annual sales growth, goods bolt-on acquisition in an area where we have a strong presence and, for sure, we will be able to achieve good level of synergies. The intended sale of our assets serving the paper market, as we commented at the beginning of the month, highly unlikely to materialize, though negotiations are ongoing. And should this be the case, we will explore alternative options for the divestment of this business, which clearly remains our strategic priority. If we now look a bit more in detail at the different underlying markets for the Group, let's start by construction. Overall, on this slide, Q3 shows a positive number, low but positive. The market overall is holding, but mostly thanks to a strong infrastructure sector, up more than 5% versus last year, as well as non-residential, where Imerys is significantly less present. Our exposure, as you know, is largely to the residential market, which is severely impacted by the rise in interest rates and tougher access to bank credits. Residential construction in Europe was sluggish and, in the US, posted a 6% decline. I'm talking about housing starts in Q3, and the forecast for the full year is around minus 10%. Consumption holding well in the US on the back of what is still a robust job market. Europe slowing, but still positive, although inflation starts to hit consumer confidence and, therefore, spending. If you move on to automotive, positive numbers on the table, lower than the previous quarter. But again, we are comparing to last year, which was a very low level. Order backlog, what we read in the newspaper seems to be caught up and delivered. So, question on the future [Technical Difficulty] considering weakening consumer confidence and credit tightening around the world. We're still far away from pre-COVID levels, so the potential for improvement is still ahead of us. A word on energy and electronics, still good momentum remains. You can see numbers less positive than in the past, most of it's relating to EVs. So, electro vehicle sales slowed down significantly in China and this caused a bit of destocking throughout the entire value chain. The next slide, industry and equipment. So general economic activity, I would say, industrial production, both in the US and Europe after a flattish first semester now clearly turning into negative territory. This together with what I just mentioned on construction have an impact not only on industry, but also on iron and steel, bottom right of this slide; steel production, which is clearly negative in our main markets, a normal consequence of the slowdown in the economy. As far as paper is concerned, another bad quarter with very negative growth. Here, on the contrary, I see rather a positive trend. Inventories of paper around the world have decreased significantly in the last quarters, so probably the worst is behind us and this market should stabilize and recover some of these losses. I now hand over to Sebastien to give you more details on our financials.
Sebastien Rouge: Thank you, Alessandro. Good evening, everyone. Let's walk through some of the key aspects of our financial performance. And we start with revenue. Sales reached EUR2.9 billion in the first nine months of 2023, an 11% decrease versus prior year, mostly driven by a drop of -- in volumes of 13%. It was partially compensated by the price effect of plus 5%, a consequence of the carryover of the price increase that we implemented last year. As planned, there was no more price increase in Q3. Perimeter effect was limited, reflecting the 2022 divestiture and the currency negative effect is increasing this quarter. Main impact is USD versus euro exchange rate, and we remember that the US dollar was very strong in Q3 and Q4 last year. If we look now into more detail at our two business segments and their respective markets, starting with Performance Minerals, this segment generates 68% of the Group's turnover, with sales close to EUR2 billion in the first nine months of 2023. All geographies were impacted by a continued destocking, with like-for-like revenue down 6.4% versus 2022 overall. On one end, the mobile energy market was weaker due to softer demands in lithium-ion batteries. Construction industry continues to suffer from rising interest rates, and the paper and board activity was very low across the Group. On the positive side, the filtration sector hold well. We can also underline that we kept a sustainable price effect, especially in Europe and in the US. On a quarterly basis, Q3 last year was still very good for Performance Mineral in volume, price, and even in FX. We suffer from high comparables that will ease going forward. Looking now at our refractory, abrasive and construction business. Our second segment recorded sales of EUR945 million in the first nine months of the year, representing 32% of Imerys' consolidated revenue. Revenue like-for-like in the first nine months was down 12.7%, reflected continued destocking and low iron and steel end markets, in particular in Europe. We faced increased competition from Asian players as compared to European abrasive and refractory products. China, in particular, with lower energy costs and soft domestic demand, is pushing its export activities. The building and infrastructure business continued to perform better than the rest, thanks to increased market penetration of specialty products helping to decarbonize the industry. As we can see from the comparison, quarterly variation is well in line with year-to-date figure, and we do not anticipate a further deterioration of the growth rate of this segment. If we look now at the Group profitability as a whole, current EBITDA for nine months reached EUR481 million, down 15% year-on-year. This evolution reflects a decrease in volume contribution for EUR206 million; a continuing positive contribution of the price of EUR151 million, which compensated for the EUR41 million net increase in variable cost. The decrease of EUR10 million of fixed costs and overhead in spite of labor inflation is reflecting the cost reduction efforts made by the Group. Also supported in H1 by the contribution of dividend from joint venture, the Group achieved a 16.6% EBITDA margin, a proof of the Group's resilience at this level of industrial activity. When we look at the quarter alone, it's important to see the neutral price effect and the inflation of variable costs, 28% lower than last year, so contributing positively, as well as the positive effect of fixed costs and overhead. If we look now at the other elements of our income statement, starting with the decrease of current EBITDA in absolute value by EUR87 million as compared to last year. Thanks to the growing contribution of share in net income from JV, the decrease of -- in absolute value of current operating income is limited to EUR46 million. Important to remind that even with low volumes, Imerys' current operating income at EUR300 million represents 10% of our sales. The amount booked in other expense line correspond to cost related to disposal and industrial reorganization, in particular, adaptation of our refractory and abrasive industrial footprint. Other expenses are lower than last year, which enables net income from continuing operations to increase by 12.4% to EUR140 million. We still have a positive contribution of discontinued operation of EUR44 million in 2023 related to our HTS disposed business that we booked in H1. All in all, net income was at EUR184 million, just short by 5% as compared to last year's EUR193 million. Back of this note of resilience, I give the word to Alessandro for the conclusion.
Alessandro Dazza: Thank you, Sebastien. Let me wrap up this short presentation with few takeaways. Clearly, we're living through uncertain times, both macroeconomic and geopolitical level. But I believe Imerys has shown, if it was needed, that it can weather through such challenging times in a strong way, it can adapt to the context and it can deliver solid margins. We will protect our profitability and cash generation; we have shown it in Q2, even more in q3. We have deployed a number of cost savings initiatives; they are delivering, as you have seen in the bridges presented by Sebastien. They've been deployed throughout the Group and more effect to come. Therefore, [indiscernible] we are confident and we confirm [indiscernible] though at the low end of the range and we will continue to progress on a more long term, strategic roadmap. Thank you for your attention, and I suggest to open the door to questions.
Operator: Thank you. [Operator Instructions] We will now go to your first question. And your first question comes from the line of Ebrahim Homani from CIC. Please go ahead.
Ebrahim Homani: Hello. I have three questions, if I may. The first one is about the prices. As they are not increasing anymore, do you plan any decrease in 2024 or stabilization? My second question maybe is about the destocking effect on your -- on the H1 and Q3, what to expect in Q4? On my last question about the volume dynamics in the US in paper and plastic businesses, and maybe if you could remind us your exposure to the construction and industry markets in the US, please?
Alessandro Dazza: Ebrahim, thank you. On prices -- if I may start with your question on prices, the effect is zero Q3-on-Q3. I would like to remind that last year Q3 -- last year, we increased -- we had to increase our prices to compensate for inflation every quarter, Q1, Q2, Q3. Q3 was the strongest and Q4 started to level off. So, the comparison is -- when we say zero, is compared to last year, which means [Technical Difficulty] to very high level compared to past practices. We have transformed -- we have canceled over the year 2023 all the surcharges. Some of them have been transformed into permanent price increases, and that's why you still have a zero, although last year, there was a significant impact of surcharges. So, we believe Q4, to come to your answer -- to answer your question, I believe, Q4, we should be in the same region, around zero or slightly negative, meaning prices remaining flat and last year being the last push on increase on the back of [Technical Difficulty] still being high as we enter Q4 last year. That's the way I see the end of the year. For 2024, we have not started negotiations. I don't think we will see any significant decrease in prices. Inflation remains an issue. I do expect labor costs to continue increase next year to compensate for inflation and, therefore, it will be our duty to still adjust our pricing through the effective cost development. So, rather stable, potentially even with a light increase. On the second one, destocking is very difficult. As you know, we have many industries, many customers, and different geographic areas. It was very strong and -- I would say, until the summer. We do see the end. What we don't see yet is a restocking. So, I believe customers are uncertain about demand patterns and, therefore, they buy what they really need. Today, logistics has become easier, is available. Lead times have become shorter because of softer activity. So, you can get hold of products fast, which avoids [Technical Difficulty] destocking to a normal level of demand. As always, when it comes -- and I remember very well 2021, when it comes, then it's panic, because lead times immediately become longer and then the pipeline is empty. I've seen there are statistics published on paper, and it was one of your questions on volume. Paper inventories in the US have come down now every month quite significantly. So I am pretty sure the inventories is over. So I want to believe that destocking is largely behind. Restocking is still ahead of us. So, today, we see volumes quite stable. We see on October, which is rather positive and, therefore, we are very confident then the -- probably the worst is behind us. To finish is -- our exposure, construction for the Group represents today around 40% of our overall turnover, is quite heavily distributed throughout the Group. Therefore, in the US, I would say, is the same as for the rest of the Group, around 40%, 41% maybe.
Ebrahim Homani: Okay, thank you.
Alessandro Dazza: And of course, plastic, there is a lot of activities into polymer within the construction industry.
Ebrahim Homani: Okay. [Multiple Speakers]
Alessandro Dazza: I hope I addressed all three. Thank you, Ebrahim.
Ebrahim Homani: Yeah, it was very clear. Thank you.
Operator: Thank you. We will now go to our next question. And your next question comes from the line of Sven Edelfelt from ODDO BHF. Please go ahead.
Sven Edelfelt: Yes. Good evening, gentlemen. Thank you for taking my question. I had two questions. The first one is on the paper business. Sorry if I misunderstood, but would you say the deal is off 100% or there is still a probability to come through? And if there is still a chance to do it, I mean, why not renegotiating the price rather than wait another two years to get rid of this business? That's the first question. And the second one is about the asbestos talc related to US. I think there was a very positive hearing on September 28. Maybe you could -- on the back of what has been said to this hearing, I think the judge has three months to put the new plan to a vote and, therefore, we should see some positive maybe in first quarter of -- or second quarter of next year. Could you maybe elaborate a little bit on this, please?
Alessandro Dazza: Thank you, Sven. And of course, we will elaborate on it. First of all, on the divestiture of the paper assets, the deal is not 100% debt. Otherwise, we would have indicated that it is 100% in debt. When we say it's highly unlikely is because, today, we are -- we believe that the probability of a positive conclusion is low, but is still alive. And as I -- we mentioned in our press release, we do reserve the right to act towards the buyer, because we believe we are very close to a conclusion. Negotiations are ongoing, so I believe there is no -- for confidentiality reason, no need or not the possibility now to discuss if and what. Then what is important is we put these assets on sales, because it had a strategic value for the Group. This strategic reasoning is still valid entirely and, therefore, we will do our best to complete the deal. And if not -- if it is not possible, we will, for sure, investigate alternatives. And for me, alternatives is not a two-year time frame. It is true that strategic means long term [Technical Difficulty] but to act rapidly and, therefore, we will do our best to keep a very reasonable time frame, no matter which action will follow. And we will, of course, keep the market updated as there are any significant news or decisions in this regard. In terms of our Chapter 11 case in the US, you're right, there was a first after a long time, the first -- a first event was the filing of a draft, new plan of reorganization. Temporary reorganization is the plan that basically regulates all the elements around the Chapter 11. So, after a long mediation ordered by the court, the plaintiffs found largely agreements among them. I remind you again that we are not part of this negotiation. The agreement with Imerys for the time being stands, as it is in all its terms and conditions. Then the mediation was around other topics. Among the plaintiffs, it seems they have found an agreement, and this agreement was filed as a draft. I'm not aware that there is a deadline of three months. To be honest, the judge has invited to complete and finalize this draft. And for this one, there is really no deadline. There are still a couple of ancillary documents missing, which should be filed as soon as possible. Once this file is complete, we can [Technical Difficulty] hearing. If this hearing is positive, which, at the moment, we go to the judge -- I assume it will be, the judge will start the voting process. So, at the moment, there is not more to say. When will we file a final new reorganization plan? Early to say. I think it is in the coming weeks, if not year-end, it might be in January. But we have tried to give deadlines before. And as you know very well, then there were delays, there were factors. So, impossible to say; important is it is a draft and is -- it is a step ahead in the mediation. And now, we will need to complete and transform this draft into a final plan of reorganization. And again, we will keep everybody informed if we file for a new hearing and, therefore, starting a new voting process.
Sven Edelfelt: Thank you, Alessandro.
Alessandro Dazza: Thank you.
Operator: Thank you. We will now go to the next question. And your next question comes from the line of Aron Ceccarelli from Berenberg. Please go ahead.
Aron Ceccarelli: Hello. Hi, good evening, everyone. I have three questions, please. So, the first one is on the paper business. May you remind us what is the maintenance CapEx of these assets and how we should think about your CapEx for 2024 and 2025 in case the paper business remain within the Group? The second one is on the EBITDA guidance, which you now have lowered toward the lower end. If my numbers are correct, this would imply in EBITDA for Q4 down only 2% after that was down 22% in Q2 -- sorry, in Q3, and it was down 50% on a nine-month basis. So, I would be interested to understand how you think about this difference. And the third one I noticed is the second time you mentioned increased competition in -- from Asian players. It would be great if you can elaborate a little bit on this topic. Thank you.
Alessandro Dazza: Then the -- our paper activities or activities around the paper market typically require between EUR20 million and EUR30 million of CapEx, which is maintenance, is overburden, is new mining, also some projects [Technical Difficulty] EUR20 million to EUR30 million is [Technical Difficulty] a good number on a run rate typical year. This year, we will be investing around EUR330 million excluding strategic CapEx. Strategic means, our EMILI project and our expansion in the carbon black lithium-ion field. [Technical Difficulty] budget last year, but I believe -- given the current level of activity and the good level of maintenance of our assets, I believe we can further reduce our run rate and then plus or minus the paper business, if it will be part of Imerys or not. You have seen that we have signed also a potential divestiture of our activities in Greece, a bauxite activity which is minor for the Group, because it served captive internal customers, if you wish. It was used internally and had one external customer only, the one that is purchasing. And we should be able to save around EUR10 million of CapEx, because it was an intensive CapEx business, being an underground mining activity. So, that should also help us reduce our CapEx spending for next year, I would say, well above EUR300 million, if I may say. In terms of EBITDA, Sebastien, do you want to comment? And then I will have --
Sebastien Rouge: Yeah. I mean, if we look -- I think the easiest way to look at the EBITDA is sequentially. You're perfectly right in -- when you look year-on-year, we have to remember actually the profile of last year. Q4 last year was the first one where we started to suffer low volumes. And since we are usually with EUR150 million of EBITDA by quarter, and that's how we built our forecast for Q4, with volumes still soft, still with the effect of cost correction of input cost and efforts on the cost base. And that's why I would say a little bit [Technical Difficulty] easier on the comparison basis. As we said, we -- H1 was extremely good last year. Q3, in particular for Peramin was still a very good quarter. From Q4 onwards, we had -- we have comparables that are a little bit easier to compare with. And if we maintain the current run rate, then we are in the same ballpark as Q4 last year. I think your math is correct, and also the way it's built reflects actually on these assumptions.
Alessandro Dazza: If I may add a -- an interpretation is we believe that the drop in volumes is stabilizing. We are -- as I said before, probably behind us the worst. And therefore, Q4 should be -- although December is typically a very weak month, everybody tries to optimize inventories at the end of the year. We do believe that volumes should hold stable, prices should not suffer. And if we do our job on the cost side, which we are doing, we should be able to deliver EUR150 million at least of EBITDA, in line with Q3 and, therefore, allowing us to meet our guidance, though on the lower end, but be within our guidance. When we announced in July, we -- if you remember, we expected volumes to recover, start recovering around the end of the year. We don't see that yet. We see rather a flattish environment, but still we are able to deliver even -- especially on the cost side and, therefore, on the contribution of our business, we can deliver our guidance even when volumes are not picking up, which I think is one of the [Technical Difficulty]. And the last thing on competition and on volumes. We mentioned it, because we are transparent. I think in Europe -- in some high energy or energy-intensive businesses today in Europe, so specifically Europe -- and it's very specific to some businesses, we do see Asian competitors, especially Chinese competitor coming back. We gained significant market share in 2021 and 2022. Today, the picture has reversed partly. They enjoy low energy, very low logistic costs, and we are still penalized by some high energy; decreasing, but still higher than in the past. And here, competition is tougher. We are fighting, but it is tougher than it used to be in 2022, 2021 or even 2020. That's what -- so, very specific to these single businesses and very specific to Europe.
Aron Ceccarelli: So you're basically saying that your market share is basically going back to what it was before the 2021 and 2022 period. Is that the fair assumption?
Alessandro Dazza: On these businesses in Europe, yes, we are giving back some of what we have gained and preparing to fight back. That's why we are doing some restructuring. Energy is coming back to a more reasonable level. So, I believe it's in our hands to fight back. But currently, it's tougher than it was in the last couple of years. Yes, for these specific businesses.
Aron Ceccarelli: Thank you very much. Can I just double-check if I got it correctly? So the CapEx number for next year, the EUR300 million you said, does it include the carbon black and EMILI, or is it without it?
Alessandro Dazza: No, strategic CapEx are always listed separately. We have not announced how much will we spend on EMILI. We're finalizing our pre-feasibility study, which will lead to the engineering of the pilot plant, and it will be a separated envelope for CapEx. As far as carbon black, we have the end of the last line being built, and we should have around 30 million left to spend. We have closed line three. We are finalizing the synthetic graphite expansion probably before the end of the year. So, next year, we should be left only with the second half of the carbon black for the fourth line, around 30 million, plus our lithium projects, which we have -- I cannot give you the number yet; is in the -- is being put together.
Aron Ceccarelli: Okay. Thank you, Alessandro. Thank you, Sebastien. Good luck.
Alessandro Dazza: Thanks.
Operator: Thank you. [Operator Instructions] We will now go to the next question. And the next question comes from the line of [Augusta Derrick] (ph) from Kepler. Please go ahead.
Unidentified Analyst: Hi, good evening to all. Most of my questions were related to price effect and volume for next year. So, just a clarification. So you -- if I understood correctly, concerning volumes, you say that the rest is behind us, because destocking is at its maximum. But if the end market demand continue to deteriorate, volumes could fall further. So, what is your level of confidence to achieve volume at around zero for next year? That's the main question. And then I don't have any other question.
Alessandro Dazza: There's only one, but the most difficult, to guess what the economy -- if the economy will turn around next year. We were actually, before the summer, planning to see a rebound before the end of this year, which, clearly, we don't see. The positive, as you said, is if destocking is over, the lightest rebound will transform into a restocking or replenishing of the pipeline, which typically has a very solid effect on Imerys. Will it come in Q1, in Q2, in Q3? I believe it's -- today, we have -- it's too uncertain to put -- to give you an answer. It's really unpredictable. I've seen other companies commenting that the [indiscernible] is behind, the [indiscernible] is very close in the last few days. Some saying next year will be strong. I prefer to say, it's uncertain. So we want to see, really, when the confidence turns around, which is the first thing. Certainty that interest rates will not increase anymore, I'm not asking to decrease, but to see the end of the increase so that people can start calculating and being sure of the cost of money and, therefore, being willing to invest, being it's in housing, in the industry, in new projects, then we will see really the rebound in volume. Impossible to make, really, a forecast today. Too unsure.
Unidentified Analyst: Okay, thanks.
Operator: Thank you. We will now go to the next question. And the next question comes from the line of Sejal Varshney from AlphaValue. Please go ahead.
Sejal Varshney: Yes. Hi, good evening. Thank you for taking my question. So I have just one, to be precise, and it's around the EMILI project. So when you last -- when you announced this project, after that, you did mention that you were receiving a lot of interest from potential investors who might be willing to, you know, invest in the project as partners. So do you have any update on that? Do you still see some interest? Because you haven't announced anything for the same. And do you think that the lowering lithium prices has have -- had an effect on the interest in the project? So, any information that you could give on the EMILI project would be very helpful. Thank you.
Alessandro Dazza: Thank you. I will start by saying that the interest of investors in our projects remains very valid, very high, and behind the scenes, of course. But neither the time nor the current pricing have had any impact. We are working intensively on our pre-feasibility study. This is a key document, because it eliminates all the variables still present in terms of technology, location, costs -- or OpEx, CapEx, and so on. It should be finished, as we said, in the first part of next year, Q1 or maybe beginning of Q2, is what you call a bankable or auditable study. With that in our hands, we will move on to the next step, which is technically the construction of a pilot plant, let's say, 12 months to 18 months, but is the moment where -- if you want to discuss with a partner, it's the first reasonable moment to do it, because you have facts, you have numbers, you have certainties. So -- and if Imerys will decide to open to a partner, it might be a moment to do it. Then the construction of a pilot plant, and then around the end of 2025, before launching the construction of the commercial plant, it will be probably the next ideal moment. In terms of lithium prices, if you look back at our communication, we have always taken a very prudent approach, putting the price at $20. Even today, is -- after the significant drop of the last few months or weeks, is still above. I was expecting and I mentioned it, I do believe there will be, for several reasons, some months or maybe even a few years of reasonable prices for two reasons. The first one is short term. There has been too much purchasing, too much euphoria in the system. Everybody has bought everything and now, people are destocking a bit. Electro vehicle sales have reduced in China, which is 50% or 60% of the world market. So, everybody's readjusting a little bit the stock levels, which is fine. I think it has no impact on the long-term trajectory, simply short term. We have seen a -- and everybody in the industry have seen or announced the same trend. The second one is, there are some capacities coming upstream, typically brownfield. So, expanding an existing operation is easy, is rapid, and is less costly. So everybody who had an operation has been adding capacity. But there is a limit. There is a limit to what a mine can produce or a plant can produce. So the short term, the easy ones, will be coming onstream soon. Then there will be a lack of supply unless new brand, new projects come on slate. So -- and that's the moment where projects like EMILI will become absolutely necessary to feed this industry that, in terms of growth, I think, is -- nobody disputes the trajectory. And by the way, future projects, projects being announced, have in average higher costs than EMILI, and to sustain this cost and to sustain these projects, the lithium price must remain reasonable. Reasonable is not $80 per kilo as it was six months ago, probably not $60, but is anywhere between this and the $20 or that we have always envisaged as a reasonable price. Today, we are still $25, $30, so, well above our expectations. But on one side, price must sustain projects and, on the other side, it must be affordable for people buying cars. Otherwise, we will not drive an electric car, because it's too expensive. So that's a balance, and that's why I do believe the prospects of this industry, this product, this market remains very, very positive for the -- at least 10 years, 15 years to come.
Sejal Varshney: Okay. Thank you so much. That was very helpful. Thank you.
Alessandro Dazza: Thank you.
Operator: Thank you. There are currently no further questions. I will hand back to the room.
Alessandro Dazza: Thank you. If there are no more questions, thank you very much for listening to us tonight, and we wish you a good evening. Thank you.
Sebastien Rouge: Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.